Operator: Greetings, and welcome to the BGC Group, Inc. Second Quarter 2025 Earnings Call. [Operator Instructions] As a reminder, this cost is being recorded. It is now my pleasure to introduce your host, Jason Chryssicas, Head of Investor Relations. Thank you. You may begin.
Jason Chryssicas: Thank you, and hello, everyone. This morning, we issued BGC's second quarter 2025 financial results, which can be found at ir.bgcg.com. Any historical results provided on today's call compare only the second quarter of 2025 with the prior year period, unless otherwise specified. All references on today's call to historic and record results are to BGC stand-alone financial results, excluding Newmark prior to the spin-off in November 2018. We will be referring to our results on a non-GAAP basis, which include the terms adjusted earnings and adjusted EBITDA. Please refer to today's investor materials on our website for additional details on our financial results and for complete and updated definitions of any non-GAAP terms, reconciliations of these items to the corresponding GAAP results and how, when and why management uses them. The outlook discussed today assumes no material acquisitions or dispositions. Our expectations are subject to change based on various macroeconomic, social, political and/or other factors. Information on this call contains forward-looking statements, including, without limitation, statements about our economic outlook and business. These statements are subject to risks and uncertainties, which could cause our actual results to differ from expectations. And except as required by law, we undertake no obligation to update any forward- looking statements. For information on factors that could cause actual results to differ from forward-looking statements and a complete discussion of the risks and other factors that may impact these forward-looking statements, see our SEC filings, including, but not limited to, the risk factors and disclosures within these SEC documents. And with that, I'm now happy to turn the call over to Sean Windeatt, Co-Chief Executive Officer of BTC Group.
Sean A. Windeatt: Thank you, Jason. Good morning, and welcome to our second quarter 2025 conference call. With me today are my fellow, Co-Chief Executive Officers, John Abularrage and JP Aubin, along with our Chief Financial Officer, Jason Hauf. We delivered historic results, generating record revenues of $784 million, a 42% increase versus last year. Excluding OTC revenues grew by 21%, surpassing last quarter's record revenues. We continue to gain market share in the ECS and financial markets with strong growth across all asset classes and geographies. BGC is now the world's largest ECS broker. FMX had its best ever quarter with record volumes and market share across both FMX UST and FX platforms. Total Fenics revenues grew by 19%, with Fenics growth platforms increasing by 30% driven by strong double-digit growth from FMX, portfolio match and Lucera. Following our most recent acquisition, we launched a cost reduction program, which we expect will be completed by year-end and deliver at least $25 million in annualized savings through expense synergies. These savings will enhance our profitability, drive margins higher, and we expect them to deliver long-term shareholder value. These savings will close the gap between OTC's current low teens margin and BGC's current margin. And with that, I'd like to turn the call over to John to go over the quarterly results of the business in more detail.
John Joseph Abularrage: Thank you. As Sean mentioned, we registered record quarterly results, reflecting significant growth across every region and all asset classes. ECS revenues grew by 122.2% to a record $261.6 million, driven by OTC and strong organic growth across the energy complex. Excluding OTC, ECS revenues grew by 27% versus last year. Our rates revenues increased by 20.8% to $200.6 million, reflecting higher volumes across all major interest rate products. Foreign exchange revenues were up 21.9% to $108.5 million due to strong growth in FX options and emerging market currencies. Credit revenues increased by 8.5% to $75.3 million, driven by higher U.S. and emerging market credit volumes. Our equities revenues grew by 43.8% to $73.9 million, driven by all major equities products with particular strength across EMEA and Americas due to higher volatility and market share gains. Data network and post-trade revenues increased by 15.1% to $35.5 million. This growth was primarily driven by Lucera and Fenics Market Data, partly offset by lower post-trade revenues due to the sale of our Capitalab business in the fourth quarter. Excluding Capitalabs, revenues grew by more than 20%. Now turning to Fenics. In the second quarter, Fenics revenues improved by 18.6% to $162.9 million. Fenics Markets reported revenues of $134.1 million, an increase of 16.5%. This growth was primarily driven by higher electronic trading volumes and Fenics Market Data. Fenics Growth Platforms generated revenues of $28.7 million, a 29.6% increase primarily driven by FMX, portfolio match and Lucera. Excluding Capitalab, Fenics Growth Platforms grew by approximately 38%. The FMX UST generated record average daily volume of $68 billion in the second quarter, a 45% increase compared to last year. FMX continues to see strong support from its equity partners who have helped drive market share to more than 35% for the second quarter, up from 33% last quarter and 30% a year ago. FMX FX nearly doubled its ADV to a record $15.6 billion in the second quarter, driven by support from FMX's equity partners as well as the addition of new products and participants. FMX Futures Exchange successfully launched U.S. Treasury Futures in May 2025 and continue to scale its SOFR Futures ADV and open interest to record levels during the quarter. SOFR average daily open interest increased sequentially by 73% in the second quarter and July's open interest has more than doubled from those levels. Portfolio Match ADV nearly doubled, reflecting market share gains across the U.S. and EMEA credit markets. Portfolio Match's strong growth was driven by new clients, increased distribution and deepening connectivity with large systematic traders. Lucera revenues grew by more than 40%, driven by new clients and product launches. And with that, I'd now like to turn the call over to Jason.
Jason Williams Hauf: Thank you, John, and hello, everyone. BGC generated second quarter revenues of $784 million, reflecting growth across all of our geographies. EMEA revenues increased by 50.3%, Americas revenues increased by 40.3% and Asia Pacific revenues increased by 17.4%. Turning to expenses. Compensation and employee benefits under GAAP and for adjusted earnings increased by 53.1% and 51.4%, respectively due to the acquisition of OTC and higher commissionable revenues during the period. Non-compensation expenses under GAAP and adjusted earnings increased by 30.5% and 29%, respectively, also driven by the acquisition of OTC. Moving on to earnings. Our pretax adjusted earnings grew by 38% to a record $173.6 million. Post-tax adjusted earnings increased by 34% to a record $153.7 million. Post-tax adjusted earnings per share improved by 34.8% to an all-time high of $0.31 per share, and our adjusted EBITDA increased by 31.4% to $213.3 million. Turning to share count. BGC's fully diluted weighted average share count for adjusted earnings was 500.1 million shares during the period, a 0.3% decrease compared to the first quarter of 2025 and a 0.7% increase compared to a year ago. During the quarter, we repurchased more than 16 million shares, of which $8 million are reflected in our weighted average share count this quarter. The full impact of these share repurchases will be captured in the third quarter. We expect our share count to be lower in the third quarter and at year-end, assuming no extraordinary transactions or events. As of June 30, our liquidity was $965.9 million compared with $897.8 million at year-end 2024. With that, I'd like to turn the call back to Sean to go over our third quarter outlook.
Sean A. Windeatt: Thank you, Jason. I'm pleased to provide the following guidance for the third quarter 2025. We expect to generate total revenues of between $715 million and $765 million as compared to $561.1 million in the third quarter of 2024, which at the midpoint of our guidance would represent approximately 32% revenue growth. Excluding OTC we expect third quarter revenues to grow around 12% at the midpoint. We anticipate pretax adjusted earnings to be in the range of $150 million to $165 million versus $126.7 million last year, which at the midpoint of guidance would represent an approximately 24% earnings growth. And we expect our adjusted earnings tax rate to be between 10% and 12% for the full year 2025. Just before I hand over to operator for questions, I'd like to pass it back over to John for a few comments.
John Joseph Abularrage: Thanks, Sean. Before we begin the Q&A, we just want to take a moment to acknowledge the tragic shooting that occurred in Midtown Manhattan on Monday night, just a few blocks from one of our offices. On behalf of my co-CEOs and our entire BGC family and as the native New Yorker myself, I want to express our deepest sympathies to the victim's families and all those affected by the senseless act of violence. We also want to thank the NYPD, the first responders and the building security and staff who work hard every day to keep us all safe. Thank you.
Sean A. Windeatt: Thanks, John. And operator, with that, we'd like to open the call for questions.
Operator: [Operator Instructions] Our first question comes from Patrick Moley with Piper Sandler.
Patrick Malcolm Moley: And congrats on a strong quarter. So revenue growth, pretty impressive over 21% year-over-year organic. You integrated this acquisition. Maybe just thinking about the whole business and where things shake out, how do you view the growth algorithm from here? You said that the third quarter revenues are expected to grow 12% organic. You're putting in this expense reduction program that's going to finish up in the back half of the year. How should we think about the growth algorithm of the company and the margin trajectory from here?
Sean A. Windeatt: So I think the easiest way to describe it is, so we acquired OTC. We've owned it now for 3 months or just over 3 months now. But [Audio Gap] and we said that it had margins of -- in the low teens. So if you if you take out the OTC acquisition, nothing changed, great gearing revenue growth of 21% and pretax AE at 26%, 27%. So nothing has changed there. But only 3, 3.5 months into the transaction, what we said we would do last quarter is we said we will shrink that margin -- we will shrink the gap should I say, between BGC's margin and OTC's margin. And we've embarked on our cost reduction program, $25 million cost reduction program, which will have completed by the end of the year. So you'll see that benefit in 2026. So that's just 9 months after acquisition. And if you think about it, Patrick, if you took $6.25 million, one quarter of that $25 million you would bridge the gap in earnings from the group's earnings to that of OTC from [ $13 million ] all the way up to [ $19 million ] and close to [ $20 million ], right? So it is simply the fact that we bought the second largest acquisition this company has ever done. And we're 3.5 months into it, we'll integrate it within those -- in those 9 months and generate those synergies.
Patrick Malcolm Moley: All right. And then just as a follow-up, you spoke in your prepared remarks about the strength that you're seeing across FMX. Maybe on the futures side of it, in particular, could you just elaborate on how you're feeling about that business, the traction you're seeing there and where you're at in terms of some of the FCM and partner onboard that you're still waiting for?
Jean-Pierre Aubin: Patrick, JP here. We are very, very happy where we are today. As John mentioned earlier, we have record volume on software and increasing open interest ahead with our expectation. Also, along with growing software product volumes and open interest. We work every day with our clients. It remain -- it's our main priority. We're not the end of the connectivity process with our equity partners, which will allow them to engage with the platform in a meaningful way, successfully. I would like to come back on 2 footprints we have on futures volumes. Our UST market share is 35%, and from 33% and 30% 2 quarters ago, success #1. Our software volume and open its I just talked about it, are up success #2. So as UST and software volume and open interest continue to scale, we do expect attention to shift to UST futures.
John Joseph Abularrage: Patrick, it's John. Just real quickly on the SCMs. So we're at the [ 9 ] that we had mentioned before. And I think I'm pretty comfortable staying at [ 12 ] for the year. By year-end, we'll have [ 12 ] on, which will give us the vast majority of customer assets once that's done. It's just a timing issue. And again, we'll have the [ 12 ] by the end of the year, which will give us a vast majority of the market. So completely comfortable with where we are with the FCMs as well.
Operator: [Operator Instructions] The next question comes from Elias Abboud with Bank of America.
Elias Noah Abboud: So it seems like the ramp of the 2- and 5-year treasury features has been tracking a little bit slower than the ramp for SOFR back September. So I was wondering if there are any additional complexities or challenges of treasury futures that you did not have to grapple with the SOFR that are worth highlighting?
John Joseph Abularrage: Elias, it's John. No is the answer. I think SOFR launched first. So for got up and running to where it is now with nearly 40,000 open interest a day, we're happy with that. We're happy with how the interest in UST futures is going. We obviously get the benefit from seeing the work that's going on in the background. There's no additional impediments or speed bumps. And I think you'll see U.S. treasury futures follow the success of SOFR, which followed the success of the catch platform. So very comfortable with where we are.
Elias Noah Abboud: Got it. And I think you just mentioned that there are 9 FCMs connected to FMX today. Can you give us any insight into how many have open interest on the platform? And for those that are connected, but not active trading. What's the cause of the holdup?
John Joseph Abularrage: Right. So I can't break them out for obvious reasons. But I guess what I would say to that is that you can assume that all or nearly all are there and have open interest on the platform, and there is no holdup. It's just a matter of growing it as we go forward.
Elias Noah Abboud: Got it. And your FX business has been a success story from the first half of the year. Obviously, there's been some strong cyclical tailwinds there related to the global trade disputes. I was wondering if you could peel back some of those temporary tailwinds and give us any color on to what degree you're seeing structural growth in that complex?
Sean A. Windeatt: Yes. Look, I think really, it probably part of the market healing. It started with rates and then it goes to FX. And now for the first time this quarter, you've seen growth in all of our asset classes. Remember, our FX business historically is an option business, and options were lower. The FX option volumes were lower in the early 2020s. Actually, they've just -- they've now come back to normalized levels, I would say. Yes, you had a spike in volatility in April. But there's been nothing special about the other months of this year. So it's our strong multi-brand platform starting in Asia, going in the U.K. and then into the U.S. And maybe in addition, we've obviously seen volumes in our FX platform grow, and they've grown 4 to 5x the growth of our peer platforms. We probably don't call that out enough. But incredibly happy with both the voice hybrid and the FMX piece of the FX business.
Elias Noah Abboud: Got it. And then the last one for me, sticking on your FX business. It looks like there's been several quarters here where the voice portion of that business has outperformed your electronic franchise. I know the long-term vision for all of your businesses is for them to consist of a higher proportion of electronic revenues over time. So can you help us make sense of some of those recent trends?
Sean A. Windeatt: Definitely. So remember, outside of equities and ECS in terms of rates, credit and foreign exchange, our clients have the choice to trade either voice or electronic. And we have the platforms that they can do if they wanted to, virtually all of their business electronically. But the key is, it's their choice. And I think as I just mentioned, for example, in the options space, as we've been returning to what I would call normal levels of volatility. Clients have opted during this significant growth period again, back to normality to execute more voice than electronic. Our gut feeling is we're happy for our clients to trade in whichever method they choose. I would expect that trend to go slightly more electronic again over time now that the market has stabilized.
Operator: At this time, I would like to turn the call back to Mr. Windeatt for closing remarks.
Sean A. Windeatt: I'd just like to say thanks, everybody, for taking part in our conference call and have a great summer and speak to you all again very soon. Thank you.
Operator: This does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a great day.